Operator: Good day, and welcome to the Blade Air Mobility Incorporated’s Fiscal Fourth Quarter 2021 Financial Results Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Tom Cook, Investor Relations. Please go ahead.
Tom Cook : Thanks operator, and good morning, ladies and gentlemen. Thank you for standing by and welcome to the Blade Air Mobility fiscal fourth quarter 2021 conference call and webcast. We appreciate everyone joining us today.  Before we get started, I'd like to remind you of the company's forward-looking statements and Safe Harbor language. Statements made in this conference call that are not historical facts, including statements about our future period, maybe deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and actual future results may differ materially from those expressed or implied by the forward-looking statements. We refer you to our SEC filings including our Form S-1 filed with the SEC on May 28, 2021, and the Form 10-Q for the quarterly period ended June 30, 2021, filed with the SEC on August 16, 2021 for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are made only as of the date of this call. As stated in our SEC filings, Blade disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law.  During today's call, we will also discuss non-GAAP financial measures which we believe can be useful in evaluating our financial performance. A reconciliation of the most directly comparable GAAP financial measures to those non-GAAP financial measures is provided in our press release which will be available on our website. These non-GAAP measures should not be considered an isolation or as substitute for our financial results prepared in accordance with GAAP.  Hosting today's call are Rob Wiesenthal, Founder and Chief Executive Officer of Blade; and Will Heyburn, Chief Financial Officer.  I will now turn the call over to Rob. Rob?
Rob Wiesenthal: Thank you, Tom. Good morning, everyone. I'd like to thank you for your interest in Blade and welcome you to our earnings call for the fiscal fourth quarter and fiscal year ending September 30th, 2021. I will start today with a short overview of our results, followed by an update on the progress we have made towards achieving our strategic goals, before handing the call over to Will, who will cover our financials in greater detail.  We are very happy to report that this quarter and fiscal year ending September 30, 2021 significantly exceeded our expectations. Revenues in the September 2021 quarter increased 144% to $20.3 million versus $8.3 million in the 2020 comparable period, and increased 28% versus the pre-COVID 2019 comparable period results of $18.8 million. For the full fiscal year ending September 30, 2021 revenues of $50.5 million increased 116% versus $23.4 million in fiscal 2020, and were up 62% versus $31.2 million in the pre-COVID period of fiscal 2019.  We remain extremely well-capitalized to continue this strong execution on our growth strategy, both organically and through acquisition, given our debt free balance sheet with cash and short-term investments of $305 million at the September 30, 2021. Regardless, we have remained vigilant with respect to our cost structure with comparable adjusted EBITDA of only negative $4.7 million for the full fiscal year ending September 30, 2021 versus negative $9.3 million in fiscal year 2020, and negative $10.8 million in the pre-COVID fiscal 2019 period.  Comparable adjusted EBITDA exclude certain recurring and non-recurring costs paid to third parties associated with our shift to being a public company for the purpose of comparisons of prior years when Blade was private. Our strong results in this fourth fiscal quarter overwhelmingly reflected team’s execution on our organic growth initiatives, since our acquisition of Trinity Air Medical was not completed until September 15, 2021. We've continued to make great progress at the September 30th quarter end, relaunching our airport service between Manhattan and Newark Airport on November 15th. Overall, the airport service passenger volumes have now reached pre-COVID levels of approximately 20,000 fliers per year on an annual run rate basis. Additionally, we announced a long-term agreement with Signature Aviation for a dedicated test terminal at Newark Airport through 2028, a critical element to support both our current helicopter services as well as future Electric Vertical Aircraft or EVA service.  Upon going public, we committed to you, our shareholders, that we would complete two acquisitions by the end of 2021. I am pleased to confirm that we've achieved that goal with the strategic acquisitions of both Trinity Air on September 15th and Helijet's scheduled helicopter business in Vancouver and neighboring territories on November 30th. Our Trinity Air acquisition makes Blade the largest dedicated air transporter of human organs for transplant in United States. We are already seeing strong operational benefits in this combination with our existing MediMobility business, with the added scale enabling us to offer transplant centers and organ procurement organizations better aircraft availability and lower costs, while maintaining the fast personalized service that has brought Trinity Air and Blade MediMobility to such consistent success.  Most importantly, the pricing, availability and flexibility we can now offer our hospital partners enable them to accept more organs for transplant. The mission of Blade MediMobility is simple, increase the number of organs that are available for transplant. We are doing just that and together we are saving lives every day. Our fantastic momentum in MediMobility has continued through the current December quarter-to-date. We have signed up a number of major hospitals in recent weeks and look forward to continuing to build scale in organ transportation. This business is incredibly strategic for us given the high frequency of organ-only last-mile transfers, which we believe will be our first commercial use case for drones, as well as EVA. Our acquisition of Helijet’s passenger business in Vancouver grows Blade into the largest urban air mobility company in North America. Consistent with our asset-light strategy, Helijet will continue to own, operate and maintain all aircraft. Blade will also gain exclusive access to heliport terminals in Vancouver, Victoria and Nanaimo with an option to acquire up to a 49% stake in this important strategic infrastructure. Helijet has a proven unique ability to offer urban air mobility services at scale today flying approximately 100,000 passengers in the pre-COVID 2019 calendar period following three decades of safe operation. Additionally, Helijet short flights between 20 and 40 minutes are ideal for the expected capabilities of early EVA designs, making it a perfect fit for our focus on urban air mobility routes that are economically viable today while operationally appropriate for the expected capabilities of the aircraft we plan to use as we transition to EVA once available. In the markets in which Helijet operates, helicopters are a common method of travel across many socioeconomic brackets with fares starting at only $120. Helijet’s ability to make their air mobility flights so affordable today enhances the path to public and regulatory acceptance of quiet and emission-free EVA. Simply put, helicopter transportation is a vital part of Vancouver's mobility infrastructure today and that will de-risk this market's transition to EVA.  Before I turn the call over to Will, I want to briefly address the ongoing COVID-19 environment with the emerging Omicron variant. The health and safety of our passengers and employees is paramount to us. Throughout the pandemic, we have led by example, to ensure that our passengers are flying in a safe environment, including by bringing on a Chief Medical Advisor last year. We were the first aviation company to mandate in-flight masking, the first to have pre-boarding blood oxygen saturation testing, and the first to provide onsite COVID testing for our longer haul flights. This leadership position continues. We were the first aviation company to announce the requirement for all of our fliers to be vaccinated starting this past September 7th with exemptions only as recommended by the CDC. It's an important differentiator versus our competitors on the ground and in the air. And we believe it has led and will continue to lead to increased flier volumes. With Blade, our health protocols are positioned to scale and they remain critical to our success. We will continue to mitigate risks to our employees and customers alike. We were also able to adapt quickly to changing requirements mandated by governments in the areas we operate.  We are closely monitoring the Omicron virus. But as of today, during the current quarter, ending December 31st, we have not seen a material negative impact to our business. Overall, we have quickly added unmatched scale to our urban air mobility ecosystem, and we believe Blade has now aggregated more customers and infrastructure for the launch of EVA passenger and organ transport services than any other company in the world.  Most importantly, we are serving these customers and using our infrastructure today with conventional aircraft, building market share, expanding our service offerings and strengthening our brand while sharpening our operations and customer experience in preparation for a seamless transition to EVA once these aircraft are certified for public use by our partners.  With that, I'd like to turn it over to our CFO, Will Heyburn to discuss our financial results in greater detail.
Will Heyburn : Thank you, Rob. Let me reiterate how pleased we are with the progress we've made on our strategic priorities, with our financial results for the September quarter, and with our performance in the December quarter-to-date. As Rob mentioned earlier, our 144% revenue growth in the September 2021 quarter versus the comparable 2020 period is primarily a testament to the team’s strong execution on Blade’s organic growth plan.  Our Short Distance business was the most significant driver of revenue growth on a dollar basis, up 261% to $13.4 million in September 2021 quarter versus $3.7 million in the comparable 2020 period. Our commuter business continued to benefit from strong improving demand, proven by hybrid remote office policies, which was offset by decreased demand for weekend centric trips, driving a recovery of total Short Distance revenues to an impressive 90% of pre-COVID comparable 2019 period levels, significantly outpacing the overall travel industry recovery. Future Helijet results will be included in Short Distance, but there is no impact on this quarter’s results, given that the acquisition was not completed until November 30th.  Turning to MediMobility Organ Transport and Jet. Revenues increased 50% this quarter to $6.6 million versus $4.4 million in the comparable 2020 period driven by the addition of new hospital and jet charter customers, as well as growth in trip volume within Blade’s existing accounts. Our acquisition of Trinity Air contributed revenues of only $0.7 million in the September quarter, given that we closed with just two weeks remaining in the period. Since then, we have made great strides in our integration process with Trinity Air. The team led by CEO Seth Bacon and COO Scott Wunsch have moved quickly to consolidate our aircraft sourcing, allowing our combined scale to drive better aircraft availability and pricing. We've also combined our business development functions, generating early success with new hospital wins across the United States. Given the rapid progress in our integration, we will not break out Trinity Air separately in our reporting going forward.  Finally, other revenue increased slightly this quarter to $0.4 million from $0.2 million in the comparable 2020 period driven primarily by an increase in first and last mile ground transportation revenues.  Turning to our costs, we saw improvement in what we refer to as Flight Margin. Revenue less cost of revenue, which includes the total cost of flying paid to our operators and landing fees. Flight Margin increases this quarter to 22% versus 19% in the comparable 2020 period. This improvement was driven primarily by a shift in overall revenue mix towards Short Distance which made up 66% of revenues this quarter versus 44% in the comparable 2020 period. Mature routes in our Short Distance portfolio tend to have higher flight margins than our MediMobility Organ Transport and Jet businesses, which tend to have lower flight margins, but generally do not have utilization risk or require a ramp to profitability.  Given that the majority of our Short Distance revenues this quarter were from mature routes, we realized a Flight Margin benefit from this mix shift. This higher than expected Flight Margin provides an enhanced economic cushion, enabling us to invest that margin in route expansion given our expectation that each new route will typically require approximately 18 months to ramp to profitability.  Let's turn now to our general and administrative expenses. G&A increased $10 million in the September 2021 quarter to $11.9 million from $1.9 million in the comparable 2020 period. The increase was primarily driven by growth in non-cash stock-based compensation expense of $3.2 million, one-time transaction related expenses of $2.5 million as well as recurring costs paid to third-party auditors and consultants related to our new status as a public company of $2.2 million, $1.7 million of which represents premiums for our directors and officers insurance. Absent these one-time non-cash and recurring public company costs, G&A expense would have increased approximately $2.1 million to $4 million in the September 2021 quarter versus $1.9 million in the comparable 2020 period, primarily reflecting a measured expansion and enhancement of our team as we execute on our growth plan, both organically and through acquisitions.  Our software development expenses increased $0.8 million to $1 million in the September 2021 quarter, driven primarily by non-cash stock-based compensation of $0.3 million and increased compensation for new and existing employees.  Selling and marketing expenses increased $1.1 million to $1.4 million in the September 2021 quarter, driven by a recovery in our Short Distance businesses and their associated marketing activities. Compared to the pre-COVID comparable 2019 period, selling and marketing expenses increased $0.3 million or 28%, which primarily reflects an increase in non-cash stock-based compensation of $0.1 million and increased marketing activities.  Adjusted EBITDA in the September 2021 quarter decreased to negative $3.2 million from negative $0.4 million in the comparable 2020 period, and negative $1.5 million in the comparable 2019 period. This decrease was primarily attributable to new recurring expenses related to Blade’s status as a public company, consisting of incremental D&O insurance of $1.7 million and other fees paid to third-party auditors and consultants of $0.5 million. Excluding the new recurring public company expenses above, comparable adjusted EBITDA of negative $0.9 million in the quarter decreased versus negative $0.4 million in the comparable 2020 period, but improved from negative $1.5 million in the pre-COVID comparable 2019 period, driven by increased revenues and lower cost of sales as a percentage of revenues.  Our asset-light business model requires limited capital expenditures, with only $0.1 million in the September 2021 quarter and $0.3 million for the full 2021 fiscal year, excluding acquisitions and the purchase of our domain name.  Next, I would like to provide some visibility into both our current quarter ending December 31, 2021 as well as the impact of our recent acquisitions on future financial results. In Short Distance, since the September quarter end, we have seen continued progress in ramp of Blade Airport, achieving an annualized run rate of approximately 20,000 fliers in recent weeks, matching pre-COVID levels. We’re especially pleased with this result, given that we're currently offering only one route between Manhattan and JFK. And very recently, we've launched Newark service on November 15. Pre-COVID, we offered service between JSK and three different Manhattan heliports with one route each between Manhattan and both LaGuardia and Newark. Given the strong performance in the airport business, we plan to continue adding new routes and capacity in the coming months, while Blade Airport has already contributed to strong revenue growth versus the prior year in our Short Distance business during this current December quarter-to-date.  With respect to expansion plans, we are targeting a 2022 launch for one or more additional short distance routes between cities with the value proposition of Blade driven by the elimination of travel friction and prices that are competitive to current alternatives is meaningful. As expected, Helijet continues to operate at approximately 50% of its pre-COVID annual revenues of $15 million and begun contributing to Short Distance on November 30. Since the start of the pandemic, Canada has lagged the U.S. in reopening policies contributing to that slower recovery. We do not expect Helijet to add material SG&A in fiscal year 2022.  At MediMobility Organ Transport and Jet, Trinity Air is already contributing nearly $6 million of revenues per quarter, with charter margins equal to or above the Blade average. We expect Trinity Air to add approximately $1 million of SG&A per quarter. I should also point out that this business line is both non-seasonal and has not seen material negative impacts during the pandemic.  These acquisitions, along with our focus on new routes with consistent year round demand will serve to smooth out our seasonality going forward. But we do expect the September quarter to remain our largest.  We continue to have preliminary discussions with our Board to change to December 31st fiscal year end to coincide with the calendar year. We expect them to consider a formal change in early 2022.  In closing, we have a strong debt-free balance sheet with more than $300 million in cash to support our growth strategy, both through organic expansion and acquisition. We have built and continue to enhance North America’s largest urban air mobility ecosystem, ready for the quiet and emission-free electric future by flying passengers and critical cargo right now, every day with conventional aircraft at profitable unit economics.  With that, I'll turn it back over to Rob. 
Rob Wiesenthal: Thanks, Will. I am pleased with all that we've accomplished over the past fiscal year. Looking ahead at 2022, we will continue to focus on building and acquiring all the necessary elements for Blade’s world-leading urban air mobility ecosystem in preparation for the deployment of EVA services to the public in a seamless, cost effective and safe manner as our partners’ next generation aircraft become available.  Key elements of Blade’s ecosystem include our network of exclusive terminals in the most important urban air mobility markets in the world, our partnerships with leading aerospace manufacturers, our customer-to-cockpit technology stack, our 24/7 on-the-ground flier experience team, profitable routes, our loyal customer base and our highly recognized and strong brand. These competitive strengths are extremely difficult to replicate. Unlike many companies in the urban air mobility landscape, we already have a strong and growing business today using conventional aircraft and we will continue to build on it organically and through our pipeline of strategic and financially accretive acquisition that will only serve to continue to grow our operations in the U.S., Canada, India, and additional geographies around the world.  Before we close, I'd like to briefly discuss the current capital markets environment. There continues to be volatility in the market for emerging growth companies like Blade. We reported very strong financial results for the September quarter with encouraging financial visibility for the current December quarter, with approximately $300 million of cash on our debt-free balance sheet. As we leverage and expand our current market leadership in urban air mobility, we truly have an incredible opportunity ahead of us. Blade’s management team and Board believe that the current share price simply does not reflect the long-term growth prospects for our company. As we continue to execute on our growth strategy, post strong financial results, exceeding expectations, and further build credibility with the investment community, we expect this gap to narrow. However, if needed our balance sheet strength provides us with very power of the toolbox to utilize when appropriate.  Finally, I want to thank each of our 144 full-time and part-time employees for their contributions and tireless work as they consistently provide best-in-class service for all of our customers. Our success would not be possible without you.  With that, I'll turn it over to Tom for questions. 
Tom Cook: Thanks, Rob. As a reminder, we will take questions from analysts and investors on this call today. Reporters should send inquiries to me directly. Operator, we're now ready for questions. 
Operator: [Operator Instructions]. Our first question comes from Hillary Cacanando from Deutsche Bank. Please go ahead. 
Hillary Cacanando: Hi, Robert and Will, thanks for taking my questions. I know you haven't seen any impacts from Omicron so far, but could the emergence of the variant potentially impact the timing of your expansion plans in the Northeast Corridor. If you could discuss how that expansion plans are going, tracking through your initial time, that'd be great. And also if you just could comment on your plans to restart the service from LaGuardia? Thank you. 
Rob Wiesenthal: Sure. Thanks for your question. Given that we are the only aviation company with mandatory vaccination requirements, which began to be enforced on September 7th, our passengers are not only all vaccinated, they were the first to be boosted as well. Simply put, our fliers do not view Omicron as a death sentence. However, they are being very smart about it. They're following the science and they're continuing on with their lives. So what we see right now through December is not having an impact. They're continuing with their previously planned vacation travels. They're continuing to move around, but they are being extremely vigilant and they do appreciate our health processes, which have been as you know through our MediMobility division and through our Chief Medical Officer been something that we started literally at the very, very, very beginning of the virus, the first to institute mandatory masks, the first company to do mandatory blood oxygen, saturation level, and then moving on to mandatory vaccination requirements.  With respect to our expansion plans, I'll let Will take it on. We have on -- let met take the airport first. We did start with JFK on the departing from one heliport in Manhattan. We then recently in November added Newark Airport. Remember pre-pandemic, we were actually flying to Newark, LaGuardia and JFK from all three New York City airports. Obviously the goal is to go back to that. With respect to LaGuardia, there is a lot of construction there right now and the value proposition with respect to, you're flying there, and then potentially having some construction that's longer than your 5 minute flight to get to curbside without behind the tarmac service, that is something we're watching closely. But obviously it's something we're very focused on to get back to three airports.  With respect to the Northeast Corridor potential plans, I'll let Will answer that question. 
Will Heyburn: Hillary, thanks for the question. We kind of look to Blade Airport as our canary in the coal mine, if you will, to see how things are going. And as we look at the last sort of four weeks, we've averaged that around 20,000 flier mark, which matches what we were doing pre-COVID. But if I look at even the week ending last Friday, we were a little bit ahead of that. So, we really haven't seen an impact in that airport business, which is the one that we would think if there was going to be an impact would be the most likely to see it. Now, would we be growing more without the presence of this variant? Maybe. But it's hard for us to tell.  With respect to the Northeast Corridor expansion, the thing we're going to be watching there is our office is open, and our business travelers back on the road. We see some encouraging data around small business travel. I'm sure folks saw the data that Amex was talking about recently, where they've recovered very nicely sort of that 75%, 80% level, but we'd want to make sure that folks are open for business in the two cities we're trying to connect. And given the asset light model, we have a lot of flexibility on timing. 
Hillary Cacanando: I just have one more follow-up question. So, we've seen labor shortages across all industries and pilot shortage in the aviation industry. And over the weekend, I think there were a lot of restaurants closing because staff were out, sick with Omnicom and flight canceling. Are you seeing any potential labor issues at your partner network at all? Like do you know if your partners have sufficient backup pilots in play in case they become sick or any other labor issues come up?
Rob Wiesenthal: As of now we have not seen anything, and there seems -- obviously there’s not only been a great flow of new pilots, but what I'll say is that because of declines in the oilfield services business, there are a lot of pilots that are moving from that business to our business. And then also, because there has been -- in the summer there usually is a very big pickup in volume for leisure routes. Those pilots have stayed on. So the combination of the ramping up for the summer, coupled with the decline in oilfield services requirements for helicopter pilots, we have not seen that at all. 
Operator: Our next question comes from Jason Helfstein from Oppenheimer. 
Jason Helfstein : Maybe I'll ask a few. So as we're kind of thinking about the business, I think you said, Trinity was like $700,000 in the quarter. I think we were thinking about that as like maybe a $5 million a quarter business. Is that still kind of a good number? And then with Helijet, I think you guys had given some numbers out when you announced that acquisition of, I guess $7.5 million run rate. Is that still holding up? And I guess, should we think about -- I think you said $15 million kind of pre-COVID. Should we be thinking about kind of the pace to get back to that $15 million? How do we think about that pace I guess, given that you're kind of talking about your airport business already being almost back to pre-COVID levels? And then I've got one follow-up. 
Will Heyburn: Thanks for the question, Jason. I will take those. On the Trinity front, the $5 million was right for when we closed. As we said, we've had some great recent wins in recent weeks. So, I would think about starting at that sort of $700,000 level, which is what they did for the two weeks that they contributed in September. And then now we're starting to get close to that $6 million a quarter level of revenue contribution. But I would think about that as more being towards the future, rather than backward looking, if that helps.  And then on the Helijet question, Canada has been a little bit behind the U.S. in terms of reopening and it remains to be seen what impact this variant is going to have on their willingness to get back on the road for business travel and for government meetings, which is a big driver of Helijet’s business. So, we expected that this business would still be around that 50% of the $15 million. And that's what we underwrote when we did the deal ad it's a little bit hard to predict when it would get back to the normal run rate. I would expect it'll still be some time on that. 
Jason Helfstein : And then just a -- and then a follow-up question. Just to the extent that if you do not open additional Northeast Corridor flights this year, would we expect to maybe have more focus on acquisitions? And so the business will -- I guess, are you willing to commit that -- you’ll move the business forward either organically through Northeast Corridor expansion or through M&A this year, additional M&A? 
Rob Wiesenthal: Yes, it’s Rob, I'll take that. I think we have a variety of options. The good news is, when it comes to the Northeast Corridor and given our size and our ability to launch routes, we can do it very quickly. We do not require any regulatory approvals to launch new routes, so they can be launched very quickly. There are other routes that are more tilted towards leisure, or tilted towards commuting that could be very valuable that are not heavily reliant on business travel. There are other routes elsewhere in the United States that we are well down the path of investigating. In addition to that, yes, we have a very, very visible pipeline of acquisitions moving forward. So all those together, I think, gives the optionality that to the extent that if it was a large Northeast Corridor route that we would consider opening and we decided to be prudent potentially in really in kind of push that off a bit just to get better visibility in business travel, we do have that option. 
Operator: The next question comes from Itay Michaeli from Citi, please go ahead. 
Itay Michaeli: Great. Thanks. Good morning, everybody. Just the first, curious on, as you've ramped up the airport trips, curious what percentage of fliers were totally new to the Blade platform versus those who may have flown airport pre-COVID or in some of your other kind of leisure routes? 
Will Heyburn: It's been really encouraging. Look, if I'm looking at some of the recent weeks, it’s been close to 80% of the people flying are new. So it's a really fantastic customer acquisition tool for us, and we we've been really encouraged by the results so far. 
Rob Wiesenthal: And then also, we've noticed a very big pickup on returns. It was slightly tilted towards the airport as opposed to coming to the city, which is interesting, which also gives us some signals of new people that are out of New York, that are coming from outside New York City into New York City for visits, whether it be for personal or business. And that is very encouraging too, because it's clear that the brand is starting to expand well beyond our core locations of operations. 
Itay Michaeli: That's very helpful. And just my second question, going back to the December quarter, I think Will you gave some puts and takes on how to think about revenue and seasonality. I was hoping we could just kind of go through that to make sure I'm clear on that, maybe ex-Trinity to try to get a sense of kind of what where do you think you may come out this quarter? 
Will Heyburn: Well, I can give you some guidance on the seasonality. Historically, the September quarter has been the largest by far, right? But in some years would approach 50% of our revenues. These acquisitions have really served to help smooth that out. So what I would say kind of going forward pro-forma for both Trinity and for Helijet, you're still going to see September be the largest quarter, but call it closer to around 30% of their revenues. And then March will continue to be the weakest quarter around 20% and kind of an even split on the other two, if that helps you with your model one. 
Rob Wiesenthal: One additional point, which we didn’t point -- which we didn't mention. I think it's very important that those of you looking at our company and trying to forecast the impact of COVID to understand that the MediMobility business and Trinity are not meaningfully affected if at all by the virus, obviously this is -- we're now the largest transporter of human organs in the United States, and it's nice to have that kind of buffer in the company that is largely insulated from COVID. 
Will Heyburn: Yes. And just on your question for this quarter, all we'll say at this point is we're really pleased with significant growth quarter-to-date versus both 2020 and 2019 for that December quarter. But we'll have more to talk about when we do that earnings release. 
Itay Michaeli: Awesome. And I will sneak one quick one and apologies if I missed it. But just how -- I know it's early, but how is the Newark route going so far kind of relative to your expectations? 
Will Heyburn: It's going great. We're incredibly pleased. We're seeing consistent growth in that route and we're not going to break things out separately, but it's been a nice contributor to us, equaling what we were doing for pre-pandemic. And I think every week has been better than the one before, including the most recent weeks. 
Rob Wiesenthal: I think one important data point is that it is growing faster than it was growing pre -- when we did the pre-COVID launch, which just shows that the brand and the awareness of our services have increased over time. 
Operator: The next question comes from Stephen Ju from Credit Suisse. Please go ahead. 
Stephen Ju : Okay. Thank you. So Rob from a practical operational perspective, do you anticipate that you'll retain the Helijet brand in Canada, or will you look to expand the Blade brand in the country? And Will, are there any changes to the investment status, either from a real estate or equipment standpoint we should be thinking about for 2022 and 2023 years as it pertains to Helijet? 
Rob Wiesenthal: That's a great question. I think what's really exciting for us about Helijet is that helicopters are a way of life with respect to transportation in Vancouver. A large percentage of the passengers are actually government employees. It is not considered an indulgence. It's just a way of getting around, not unlike the ferries that you have there or other modes of transportation and it saves a tremendous amount of time. So it really goes across a broad socioeconomic strata. And if you look at the prices of $120, it's a very -- it's a nice strong basic service that we want -- they have a 30 year old brand, we’re going to retain that brand to the extent we would do missions to leisure routes like Whistler Mountain for skiing, or going from Seattle to Vancouver, which would be the very first international cross-border service that we would launch. I think as a higher end product, those could use a Blade ramp, but for now they've done a fantastic job and we want them to keep doing what they're doing. We want them to leverage our technology, our data and potentially enjoy some of the benefits of enhanced margin by add-on services. But for now, we are leaving their core roots with the Helijet brand. But however, there will be awareness that Blade is behind the company. 
Will Heyburn : And to your question on kind of the P&L impact, if that's what you were getting after? We don't think there's going to be a significant SG&A investment related to Helijet this year. In terms of the impact on Flight Margin, we don't think that will be significant this year either just given that they're at about 50% of what they're usually doing. So we'll keep watching and keep kind of updating folks on that. But as of right now, not a significant impact.
Operator: [Operator Instructions] Our next question comes from Bill Peterson from JP Morgan. 
Bill Peterson : Thanks for taking the questions and nice to see the increasing growth here. Didn't hear much about India, which you talked about in the past. I'm curious on what's happening there? And I guess maybe more broadly, what other markets would you consider to be right for international expansion let's say in the coming year or two? How long would it take to implement the service? You mentioned the potential for Vancouver to Seattle, that's one. But how long would it take to get that up and running around services? And should we assume these international expansions would be more through acquisition or organic growth?
Rob Wiesenthal: It’s Rob speaking. With respect to new markets, I am very focused and the team is very focused now on Europe. I think that you would likely see that by acquisition. It is just the quickest way to go to market. It reduces risk. We could do -- there are certain routes that would work organically internationally. But to the extent we find something that has a good fit and really has a kind of friction versus cost benefit to commuters and to travelers, we're on it. And we see it out there and we see those deals begin at accretive valuations.  With respect to something like Vancouver, Seattle, obviously, because it's cross-border, it would likely take more time than say a domestic point-to-point route. I can't give you any real visibility as to exactly how long that would take because our work continues on that front. Is there anything you want to add Will?
Will Heyburn: Just on the India front. When we evaluate what makes an urban air mobility market work, India has got all the elements in that. You can save folks three to six hours with a 20 to 30 minute flight that costs them $300 equivalent U.S. dollars. So, the customer value prop is incredibly strong there. The issue is there've been a lot of fits and starts with regards to COVID. And so we see a huge opportunity there, don't have anything to announce specifically right now, but particularly given how supportive the Indian government has been of urban air mobility broadly, there's some huge opportunities and we'll consider some incremental investment there. And we'll talk about other ways we can continue to expand that business, which as you recall, is a [JV]. So we have a great structure through the royalty where we get a lot of upside and our downside is relatively limited. 
Rob Wiesenthal: So just to add on that, obviously, it's a tremendous market, a lot of friction turning five-hour drives into 30 minute flights. Specifically one example is from Mumbai to Pune. But I think that additionally in terms of the friendliness of the government, we are actually building heliports, that's something that is -- would be very difficult to do in the U.S. They are offering 0% financing to helicopter companies or any kind of aviation companies to operate in India. And additionally, because of the medical system and how disjointed it is, we do see a huge opportunity for MediMobility and drones. That being said, because of the structure, as Will mentioned, we have a minority stake and an option to buy up. And in addition to that, we're enjoying royalties. So at the right time, if we want a deeper relationship with that company, economically we have that option. But for now we want to play it out, be as supportive as we can. And when we feel it's of a sufficient scale, we may consider expanding our exposure to that market. 
Bill Peterson : Okay. Thanks for that color. On jet charter, and I guess looking at your app, if you wanted to buy Aspen or Miami, those are around, I presume the business is good. I realized this is not a clear focus for you guys. But just to understand the market trends in that business. Could you help us size it, and then how to think about growth or any other expansion opportunities, if that's important to the story?
Rob Wiesenthal: Yes. I don't view it as critical or key to the story. We do not market -- jet charter really is a courtesy to our longstanding passengers and to our fliers over the past couple of years. So we really do it as a courtesy. I think that what we're seeing -- and this is really applicable to the jet companies that are out there, not Blade, clearly a shortage of aircraft, owners using their own aircraft, which would normally be up for charter, lack of availability, high pricing and a pilot shortage. So, again, it's not our -- not a core business. We do it time to time for our passengers. It is really on the periphery of our company's strategy. So, we keep -- we monitor on it. And also one of the big reasons we like doing some of it is because we get to harmonize helicopters with the jets. So we like to show value proposition, both commercial flights and private aviation of the benefits of having a helicopter land right by a plane. 
Will Heyburn: The other thing I would say on that Bill is that it does give us some scale that helps in the MediMobility business. So, if we can show more hours to operators that we use for MediMobility, given that there's crossover on the equipment, it helps us give those hospitals a better price and incentivize operators to give us that sort of 24/7 crew that you need for the MediMobility business. So it is strategic when you think about combining Blade MediMobility, Trinity Air Medical, and Blade’s retail business, that's helpful to the cause there. 
Operator: The next question is a follow-up from Jason Helfstein from Oppenheimer. Please go ahead. 
Jason Helfstein: Just -- you made a point that the bulk of the airport customers are new. Anything you want to help us, like what percent of people are choosing to be pass holders, either relative to expectations or kind of any other metrics the way you measure that? Thanks. 
Rob Wiesenthal : We're not disclosing that anecdotally. We obviously -- we paused our early pass holders to enable them to use it again. We are -- people are buying passes. But I think that it's possible that some people, because of what's been going on with the pandemic are saying, let me play it by year, because maybe I have some business trips now, but maybe I want them in the near future. So I'm not sure it's a great time to assess this product where essentially in order to the passenger breakeven you've got to fly about 10 flights. So -- but generally people continue buying passes, but I'm not sure it's the right time to measure it. 
Will Heyburn: Yes, I agree. I think as we continue to build back the route options for airport, you'll see us start marketing the passes a little bit more, but not a great time to look at everything. 
Jason Helfstein: And then the seat flight flown number that I think has been given, otherwise we go to. Will that be in the 10-Q, if you already have that handy, you can share?
Will Heyburn: We put it in the earnings press release there, it’s around 20,000 flier run rate right now for airport only. 
Jason Helfstein: I was looking at the number, that was like 6,813 last quarter. 
Will Heyburn: Yes, we will file a 10-K in the coming days here. That'll have that in there. 
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Rob Wiesenthal for any closing remarks. 
Rob Wiesenthal : Thanks to everybody who has joined the call. I just want to reiterate how pleased we are with the results for the fiscal quarter as well as what we are observing with respect to the performance to-date for the quarter ending December 31st. We appreciate your interest, your support, and both Will and I remain available both directly into ICR for any questions that you may have. We appreciate you listening this morning. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.